Operator: Good day. And thank you for standing by. Welcome to the JELD-WEN Holding, Incorporated Second Quarter 2021 Earnings Call. At t this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Chris Teachout, Director of Investor Relations. Thank you, and please go ahead.
Chris Teachout: Thank you. Good morning, everyone. We issued our earnings press release this morning and posted a slide presentation to the Investor Relations portion of our website, which we'll be referencing during this call. I'm joined today by Gary Michel, our CEO; and John Linker, our CFO. Before we begin, I would like to remind everyone that during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our Forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance we are providing with respect to certain expectations for future results or statements regarding the expected outcome of pending litigation. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measure calculated under GAAP can be found in our earnings release and in the appendix to this presentation. I would now like to turn the call over to Gary.
Gary Michel: Thanks, Chris. Good morning, everyone. , and thank you for joining us this morning. At JELD-WEN, we talk about our aspiration to be a great company. We define a great company as one that people want to buy from, people want to work for, investors want to invest in and that does the right thing for people, our communities and the world. We've been sharing with you our multifaceted growth strategy and how we're executing this disciplined plan to accelerate growth, expand margin and deliver cash, while allocating capital to optimize shareholder returns. What is really special about our progress and what is frankly unique to JELD-WEN is our engaged team of associates and the values based premier performance culture we're creating. The foundation of our strategy deployment is our business operating system, the JELD-WEN Excellence Model, or JEM. JEM is the systematic way that our people work within the company to deliver our strategy globally. This holistic approach is anchored in the very essence of a lean problem-solving culture, the practice of continuous improvement, development and respect for people and the identification and elimination of waste to deliver growth. Please turn to page five. The second quarter exemplifies our accelerating progress, as we yet again delivered strong broad-based financial performance. Consolidated revenue grew 25.5% and core revenue grew 19% in the quarter. Core revenue growth accelerated in each segment, driven by volume from share gains in key products and channels, continued price discipline and favorable mix. Gross profit increased 33.5%, and we delivered 140 basis points of gross margin expansion from strong volume leverage, price that more than offset inflation and productivity. Our global sourcing capabilities and self-sufficiency in key manufacturing processes are competitive advantages that ensure consistent material availability and reliable delivery to our customers. This quarter is our 11th consecutive quarter of favorable price, cost and our sixth consecutive quarter of gross margin expansion. And with volume growth in every segment, we extended our track record of core revenue growth as well. We expect actions currently underway to drive continued year-over-year growth and margin expansion. The strong financial performance in the quarter was broad based across segments. In North America, core revenue grew 21% with a 60 basis point growth in core margin and 250 basis points of improvement year-to-date. We experienced strong demand from residential new construction and replace [ph] and remodel activity and our operational excellence initiatives continue to result in industry-leading lead times that delivered share gains and margin expansion. Europe and Australasia posted exceptionally strong growth as well. In Europe, core revenue growth of 21% was driven by strong market demand for replace and remodel, as well as share gains in target markets and JEM initiatives that are reducing cycle times. The European team's operational excellence is also quite strong with eight consecutive quarters of margin expansion. Australasia core revenue grew nicely at 9%, as residential new construction markets strengthened and our replace and remodel initiatives delivered results. This was Australasia's third consecutive quarter of core revenue growth, demonstrating that the housing recovery in that market is gaining momentum. Cash generation in the quarter was again strong, driven by growth, profitability and continued strong cash conversion through efficient working capital management. We seek to compound returns on cash flow through our disciplined approach to capital deployment. At current levels, we believe our shares are undervalued and represent a great investment for us and an excellent use of our cash. Demonstrating this view, we repurchased approximately 1.2 million of our shares during the quarter and approximately 2 million shares year-to-date. At quarter end, we had approximately $113 million remaining under our current share repurchase authorization. Today, we're pleased to announce that our Board of Directors has increased the share repurchase authorization to $400 million. The upside of our share repurchase program demonstrates confidence by the Board and management in JELD-WEN's multifaceted growth strategy and continued performance. Please turn to page six. There are a lot of things that we're doing day in and day out to better serve our customers and build momentum across JELD-WEN. The JEM tools we deploy to solve problems drive our ability to meet customer demand through cycle time improvements, which leads to continued growth acceleration and margin expansion. As we shared during our Investor Day in May, there are numerous examples across the enterprise. We've identified and started the transformation process at nine of our model value streams. As we head into the second half of this year, we are in the execution phase as we complete the start-up activities at these model transformation sites. Plans are in place to complete over 90 rapid improvement events or Kaizens, as part of our JEM value stream analysis or VSA process, and we expect to kick off the VSA process at five more sites during the second half of the year. RIEs represent real opportunities to improve throughput and effectivity, add capacity and support accelerated growth. Let me share some representative results for already completed RIEs in our North America door prehang [ph] operations. In one of our door prehang sites, we have seen a 35% improvement in throughput and associated productivity as a result of operation rebalancing. Another site has seen a 15% improvement through cell creation and single piece flow disciplined, and we have line of sight to a 30% improvement in overall prehang activities when these RIEs are complete. RIEs in our door finishing operations has led to quality improvements and cycle time reduction nearing 35% with more opportunities to come across all of JELD-WEN, demonstrating how we deliver product and meet accelerated market demand and grow share. In the North America Windows business, our lead times remain among the best in the industry. Continued focus on operational excellence to reduce cycle times and expand capacity through the disciplined deployment of JEM allows us to meet customer needs and gain share in the current high demand environment. In addition to these examples, we are also investing in capacity expansion to grow. Our VPI multifamily business recently commissioned new operations in Statesville, North Carolina. Statesville is producing VPI quality windows and serving customers today, and we expect it will effectively double our capacity as we better serve East Coast customers, and VPI continues to grow nationally. Associates across Europe demonstrated the commitment to JELD-WEN's core values as they integrated World Safety Day into a week long regional celebration of health, safety and inclusion, particularly focusing on two JELD-WEN core values, build businesses ethically and safely and improve every day. All operations at functional associates participated in related activities and opportunities to make personal commitments to their own well being. The very personal approach provided moving examples of how safety and inclusion make a difference in engagement and our premier performance culture. Please turn to page seven. In May, we published our inaugural environmental, social and governance report that highlighted our legacy of sustainability, community involvement and our values driven culture. We outlined our ambition to lead more broadly on environmental, social and governance matters across a variety of pillars that are important to our stakeholders. These ESG initiatives support the foundation of our universal strategy for growth that we outlined in our May Investor Day, our first as a public company. We highlighted the strength of our team and shared real world examples of how JELD-WEN associates are driving positive change globally to deliver differentiated and superior customer experiences. We detailed 2025 revenue growth, margin expansion and free cash flow conversion targets and demonstrated how our multifaceted growth platform can deliver differentiated performance through innovation, price discipline, operational excellence and disciplined capital allocation. By all accounts, this was a significant quarter for JELD-WEN. Today, we announced that we have decided to begin the process of divesting the wood fiber building products business located in Towanda, Pennsylvania, and therefore, we will not pursue an appeal of the decision by the Fourth Circuit Court of Appeals upholding the District Court's original divestiture ruling. After a thorough review of our options, we have concluded that it is in the best interest of our customers, our associates and our shareholders to begin the divestiture process and eliminate the ongoing uncertainty around this matter. A leader in wood fiber composite technology, the business at Towanda has talented associates, a high performance product portfolio and attractive financial characteristics. The Towanda facility is a unique, well-performing asset, and we believe the business will attract significant interest from buyers due to the current housing and renovation booths and strong M&A market conditions. JELD-WEN is well prepared to support the continued growth of our customers post divestiture, providing industry leading products and services to our customers and delivering value for our shareholders. We will work with the court-appointed Special Master to complete the sale and maximize the value of the divestiture assets. The Special Master has retained an investment bank to evaluate options and to ensure an orderly and fair process. JELD-WEN has the right to challenge the divestiture process and final order, and the Fourth Circuit made it clear that the District Court may have to revisit its ruling if a satisfactory buyer is not secured. Please turn to the next page. Looking ahead, we remain confident that supportive housing fundamentals in each of our segments will continue to drive demand for our products. In North America, we see a positive long-term outlook for residential new home construction due to favorable demographics, a dramatically under built housing market, supportive interest rate environment and what we believe is a more permanent shift in homebuyer attitude, which should provide a tailwind for residential new construction for the foreseeable future. In the short term, homebuilder orders and starts have slowed as the industry absorbs demand and deals with capacity constraints. We view these developments as transient short-term issues and continue to feel positive about long-term housing fundamentals. Replace and remodel activity in North America, particularly for larger ticket items should also remain positive, given the tight correlation with many of the same factors positively impacting new construction, supportive interest rates, demographics, increased focus on the home, coupled with substantial home equity value creation and an increasingly aged housing stock. In Europe, we continue to anticipate solid demand due to positive fundamentals across all of our core markets. Replace and remodel activity is currently stronger than residential new construction in Europe, as consumers focus on their homes and use disposable income for home improvements. Our Northern and Central European markets are currently showing the highest level of demand. Meanwhile, commercial construction has slowed slightly from uncertainty around demand for office space and hospitality. In Australia, which is recovering from a multi-year housing recession, record level of activity is now forecasted through 2022 in the single-family new construction market driven by homebuilder incentive programs, low interest rates and healthy economic growth. These same factors should continue to drive strong replace and remodel activity as well. An eventual reopening of borders to immigration will support recovery in the multifamily new construction market, a key driver of long-term housing demand. The housing fundamentals in each of our regions are very favorable, and we are executing our strategies to accelerate above-market growth in each segment. With a strong first half behind us, and strong fundamentals and execution ahead, we are excited about the remainder of 2021. John will now provide additional detail on our financial performance.
John Linker: Thanks, Gary. And good morning, everyone. I will start on page 10. Our second quarter financial results demonstrate the benefits of our multifaceted growth platform and extend our consistent track record of execution with improvements in revenue, earnings and cash flow. This strong performance is a direct result of investing in our strategic growth drivers over multiple quarters and the ongoing momentum of JEM. Second quarter net revenue increased 25.5% to $1.25 billion. The increase was driven primarily by a 19% increase in core revenue, as well as a favorable impact from foreign exchange. Notably, all three segments delivered core revenue growth with broad-based acceleration and volume mix and pricing showing improvements both year-over-year, as well as sequentially. Gross profit margin expanded 140 basis points, benefiting from price realization that more than exceeded material and freight inflation, operating leverage on increased volume, structural cost reduction programs and productivity savings from JEM initiatives. Our commercial teams in each region have done a fantastic job enabling this margin improvement by implementing multiple pricing actions to stay ahead of rapidly accelerating inflation in all of our global markets. Reflecting the strong operational performance, adjusted EBITDA increased 17.9% year-over-year, while adjusted EBITDA margin declined 80 basis points, as the gross margin improvement was offset by higher SG&A from the non-recurrence of our second quarter 2020 COVID-19-related cost savings measures, as well as the margin-dilutive impact of foreign exchange. Core adjusted EBITDA margin, which excludes the impact of recent acquisitions and the impact of foreign exchange, declined only 40 basis points. Page 11 provides detail of our revenue drivers for the second quarter. I'll highlight strong volume mix growth of 13%, driven by North America and Europe, as well as pricing realization of 6%. Both volume mix and pricing improved sequentially from the first quarter. Please move to page 12, where I'll take you through the segment performance in more detail. Net revenue in North America for the second quarter increased 21.7% driven by pricing, volume growth and improvements in mix. North America's 8% price realization rate was a sequential improvement from the first quarter, as we implemented additional rounds of pricing to offset accelerating inflation. North America volume, mix in the quarter improved 13%, as our healthy service levels allowed us to meet strong demand in all channels. Mix benefited as well, as special order activity picked up in the retail channel. North America core adjusted EBITDA margin expanded 60 basis points to 15.6%, driven by price realization in excess of inflation, and operating leverage on improved volume and mix, which more than offset the non-recurrence of COVID cost savings programs implemented in 2020. The margin improvement was nicely distributed across all major product lines. While there are many examples of stellar performance in our North America segment this quarter, I'm excited to highlight the momentum in our Exterior Door business, which sells steel and fiberglass doors through both retail and traditional wholesale channels. Exterior door revenue growth exceeded 30% compared to prior year, as we gained share with key accounts and target markets. Demand for these exterior products is strong, and we are making additional capacity investments in this area, which will enable continued growth in future periods. Europe revenue increased 33.7% overall and 21% excluding the impact of foreign exchange. Both pricing and volume improved versus prior year with UK, France and Central Europe leading the revenue growth in the segment. For the eighth consecutive quarter, Europe delivered core margin improvement with an increase of 130 basis points year-over-year from strong productivity and operating leverage on healthy volume. Australasia revenue in the quarter increased 27.1% overall and 9% in local currency versus prior year. Volume benefited from accelerating housing demand and the government stimulus program. The Australia housing market continues to show strong demand and fundamentals are solid for future growth, with record levels of activity for single-family new construction expected to continue through 2022. Increasing COVID restrictions implemented by governments in several countries in the Australasia segment will likely temper the pace of revenue growth in the second half of 2021. As a result of these temporary restrictions, our Malaysia facilities have been closed for two months. Our Indonesia facilities are operating below full capacity and construction projects have been temporarily halted in several major end markets in Australia. Australasia segment core margins declined 90 basis points in the quarter, as a result of higher inflation compared to the timing of full realization of price increases, as well as the non-recurrence of COVID-related benefits realized last year. Please turn to page 13. Operating cash performance improved $2.4 million compared to prior year, as higher earnings were partially offset by an increase in cash taxes and cash interest, as well as the payout of previously accrued litigation settlement. Capital expenditures were largely flat with prior year. The balance sheet remains healthy, as net leverage reduced further to 2.2 times, and liquidity was strong at over $1 billion, including a cash balance of $618 million. We are focused on deploying our cash in a disciplined, returns focused manner and compounding the returns on that cash over time. Finally, I'll highlight our very successful recent debt refinancing that closed on July 28. We upsized our asset-based revolving credit facility from a facility size of $400 million to $500 million to take advantage of our growing assets and borrowing base to support liquidity. Additionally, we extended the revolver maturity from 2022 to 2026 and maintain very attractive pricing and terms. We also issued a new $550 million covenant life Term Loan B to replace a loan of the same amount and extended the maturity from 2024 to 2028. We retained very attractive pricing and terms on a new term loan as well. As a result of these transactions, we optimized our debt maturity schedule and now have no significant debt maturities until 2025. And importantly, we continue to have no maintenance financial covenants. This debt structure gives us the flexibility to execute on our strategy, while maintaining flexibility for capital allocation that drives shareholder value. With that, I'll turn it back over to Gary, who'll provide closing comments. Gary?
Gary Michel: Thanks, John. With strong momentum in the first half of the year and favorable market conditions driving demand in every segment, we're increasing our guidance for full year revenue growth. We now expect to deliver full year revenue growth in the range of 12% to 14%, increased from the previous outlook of 8% to 11% due to foreign exchange, recently completed pricing actions and strong volume momentum. We expect that continued operational excellence, pricing discipline and productivity will deliver EBITDA in the range of $510 million to $535 million, an increase from the prior range of $505 million to $535 million. This updated outlook implies a slight reduction in our EBITDA margin rate for the full year due to the impact of updated assumptions for FX, as well as higher revenue from additional pricing, which continues to offset inflation. As you can see, favorable market conditions in each of our segments, in many cases, the best demand conditions we have seen in quite some time, coupled with our consistent execution are demonstrating differentiated financial performance. I am so proud of our associates around the world who are committed to delivering for our customers, our shareholders and each other every single day. This premier performance culture centered on our core values is what separates JELD-WEN and ensures our success. Thank you for joining us today. John and I will now be pleased to take your questions.
Operator: Thank you. [Operator Instructions] We have our first question comes from the line of Truman Patterson from Wolfe Research. Your ling is open. Please go ahead.
Truman Patterson: Hey. Good morning, guys. Thanks for taking my questions. First, just wanted to visit your guidance, on the revenue, you bumped it up, I believe, three to four points, but the top end of your EBITDA guidance was left unchanged. So I was just hoping you can walk us through what the reduced outlook for EBITDA margins are. Is it just simply you know, greater raw material inflation and pressures, you know, versus your prior expectation? Is there anything baked in from the Towanda divestiture? Just really hoping you can help us bridge the gap there because we've heard of some very robust pricing announcements and realization in the US?
Gary Michel: Yeah, that's correct. I mean, we'll still see a favorable price, cost in the second half of the year, but we are - we're offsetting inflation that we'll see, material inflation that we'll see in the second half. So we're kind of guiding to that. So you'll see kind of a big bigger portion of that hitting with the pricing actions that we've already taken, price, costs will continue the trend that we've seen as being favorable for us going forward. So that's really the primary difference that you're going to see in the second half.
Truman Patterson: Okay. Just a quick follow-up on that, I believe you all last quarter said about 2.5 points net of inflationary pressures after some of your productivity initiatives. Could you just update that number?
John Linker: Yeah, Truman. Material inflation in the second quarter was around 4.5% of revenue. And we're expecting that sort of similar magnitude now for the full year. So that would imply that we're seeing more than 4.5% in the back half of the year on the inflation front.
Truman Patterson: Okay. Okay, thanks for that. And then a final one for me. Just hoping for some more detail on the Towanda decision. Why did you all decide not to continue with the appeals process? Any time line for a divestiture, you know, EBITDA multiple potential of similar companies. And finally, just want to understand what you all will do with the sales proceeds, primarily share buyback, et cetera?
Gary Michel: So I can't give a whole lot of detail on the process at this point. We're working with a Special Master on timing and the actual process. We believe after our review that the time is right in the best interest of our associates, our customers and our stakeholders to get on with divestiture, great commercial markets. As you know, the R&R and new construction markets are very strong. M&A markets are very strong. So we think it's a good setup for us. We're very prepared preserving our customers and preserving shareholder value after any divestitures. So we just seems - it just seems like the right time to move on with us. As far as timing goes, again, we're at the - we'll be working together with the Special Master, and as the process moves forward, we'll update on that. As far as use of cash, we did announce the upside of our share repurchase plan. We do believe that our shares right now are really good investments for us and a good use of our cash. We continue to have great projects, high-returning projects internally that we've been talking about as we deploy JEM and as we improve our capacity. They're starting to show the payoff as we're outperforming on the top line and the bottom line and gaining share. We do have a pipeline of other uses of cash as we look at the M&A markets, and we will certainly be reporting on that going forward.
Truman Patterson: All right. Thank you, guys for your time.
Gary Michel: Thank you, Truman.
Operator: Our next question comes from the line of Matthew Bouley from Barclays. Your line is open. Please go ahead.
Matthew Bouley: Good morning. Thanks everyone for taking the questions. Just sticking on the same topic on Towanda. I'm curious if you can comment at all on, I guess, what you've done to position sort of the balance of your capacity, particularly your door skin capacity, just thinking about your vertical integration. And Gary, just mentioned kind of maintaining customer service levels. Just any commentary around how you've positioned the rest of your door skin manufacturing capacity for this divestiture? Thank you.
Gary Michel: Yeah. All I would say is we've had time to consider the alternative, and we are in a really good position to take care of our current and our future needs for door skins. And we've talked about in the past, all different types of alternatives. But with JEM activities, we have focused on our door skin plans, as well as on our - all of our plants across the enterprise. So we're in pretty good position there. I don't want to get into too much detail as the process will unfold. There will be - there'll be - I don't know if I call them idiosyncrasies or particulars to any deal, I'm sure, and we'll need to make sure that we adhere to those. But we're in great position. We've been planning for this eventuality and we know that we can take care of not only our current needs, but our growth needs as well.
Matthew Bouley: Understood. Helpful color there. Second one just back on the price cost side. Obviously, the strong pricing environment, and you've got this fairly sizable offset from cost inflation in the near term. My question is kind of what happens on the other side of this, if we eventually see sort of abatement or even deflation in key materials. I'm curious if you could outline which categories you might be able to more so hold on to price versus which categories or channels do you tend to give pricing back in a deflationary environment? Thank you.
Gary Michel: Well, we have been obviously very focused on price, cost for a long period of time even pre some of this inflationary market, getting fair value for our products. And by being a good operator and being able to serve our customer needs. As we talked about at Investor Day, providing a differentiated and superior customer experience certainly is valuable within the building products space and it's something that we do get paid for and expect to get paid for as we grow share. So some of the pricing certainly will continue as that value continues to improve. As we look at materials, clearly, we've moved up and been able to stay ahead of that. You know, probably an area of where the fluctuation would be, would be on freight. Freight tends to be more variable and tends to be something that rides with more closely to Ashville costs.
Matthew Bouley: Got it. Well, thanks and congrats on the results.
Gary Michel: Thank you.
Operator: Our next question comes from the line of Deepa Raghavan from Wells Fargo Securities. Your line is open. Please go ahead.
Deepa Raghavan: Hi. Good morning, all. Thanks for taking my question. So some of the builders continue to talk about back audit situations in windows and doors. Can you talk to how the situation has evolved? Has it gotten better or worse? And how are you handling and benefiting from the situation?
Gary Michel: Well, thanks for the question. We've - it depends by product, of course, but we've been in pretty good shape with adding capacity and throughput, as we talked about earlier, through our JEM initiatives. We've been very focused on our operations, being able to meet demand. There have been certain constraints here and there along the way. We're not immune to all of those. But in general, we have been offering lead times that are industry-leading. Well, we're probably slightly better on the door side. We're extremely better on the window side. What we've been seeing with all the improvements that we've put in, in windows, in particular, we've actually been seeing industry-leading lead times out of JELD-WEN, and that's been turning into the share gains and builders actually moving their business towards us. So that's been very favorable. On the door side, we've certainly been able to keep up. And I kind of think the bigger constraints in the industry have been other materials and builders availability of labor to complete those starts, and certainly, that will affect us some. But right now, we're seeing share gain in our products pretty much across the board. And like I said, the lead times due to the JEM initiatives that we've been at for several years are paying off.
Deepa Raghavan: Great. That's good to hear. A quick clarification question for me on Towanda facility. I don't want to make any assumptions here. So just asking you, you know, as you work through this divestiture, should we plan for any impacts to sales and operations?
Gary Michel: I'm not sure if I understand your question 100%, but you asked that we should expect any sales or operations impact from the divestiture of Towanda?
Deepa Raghavan: Yeah, as in - yeah, should we plan between now and the time it's actually going to be - yeah, divested should...
Gary Michel: No at all. Not at all. We continue to operate the business. It's operating very, very well, and everybody's best interest to remain that way. There's a robust market for exterior trim and trim board, which is the primary business of Towanda, which is our MiraTEC and Extira lines [ph] That continues to be very, very strong. And as we know, the door businesses are very strong as well. So we expect to continue to have a great performance out of Towanda, as we do with the rest of the business.
Deepa Raghavan: Great. Thanks. I'll pass it on.
Gary Michel: Thank you.
Operator: Our next question comes from the line of Philip Ng from Jefferies. Your line is open. Please go ahead.
Philip Ng: Hey. Good morning, guys 2Q comps are a little noisy, obviously, from the pandemic. But when we look out to the back half of the year, should we expect normal seasonality in the business? And are you having any meaningful limitations from a supply chain labor standpoint, particularly as you get size of the impact you called out in Australasia would be really helpful?
Gary Michel: Yeah. So we're - for the most part, let's start with that. Our plants, for the most part, are operating across - or really all around the world. Australasia is the one area where we've had some recent COVID shutdown. In Australia, itself, there have been occasional outages there, which is an affecting market a little bit. But they're still in the upper tick, coming back off of the, the housing slowdown over the last couple of years. So we've seen some nice growth there. Our Malaysia operations and Indonesia, to a certain extent, have been affected by COVID. Malaysia has actually had some shutdowns. We expect those to start returning back to production here in the next couple of days or weeks. In Indonesia, we've been operating at less than full capacity, but we expect that as well to be returning here probably within the next week or so as we see vaccinations and the light there. All in all, though, occasional issues on material due to weather, COVID, demand-related, some temporary issues of availability or supply - in our supply chain, but nothing that's been affecting customer deliveries, except for maybe window screens. But we've been very active in resourcing and in using our own self-sufficiency, our manufacturing operations to ensure that we don't miss any customer demands or customer needs and we continue to monitor that.
Philip Ng: Yeah, that's super helpful, Gary. And when we think about mix, if I heard John on your prepared remarks, it sounds like mix is improving a little bit on the retail side. Can you kind of expand on that? Then when we think about commercial, remind us, is that mix positive, neutral, negative? Any color would be great.
John Linker: Sure. So in North America, specifically, where I think you first started asking the question about mix, where we did see in the past, a shift towards more stock demand and less special order demand in the retail channel, we're now seeing that balance improving. We're still working with our retail partners to get stock levels up to target levels. So we're certainly not there yet. So demand still remains strong for stock units. But I think what is now inflected is we are seeing a pickup in special order unit. And so in Q2, in North America, mix was a tailwind to both revenue and earnings as that flowed through, as we start to see that pick up. I'd say on the flip side, you mentioned sort of commercial. The only place that that's a bit of a mix shift would be in Europe where seeing a slowdown in some of that major project business that we do which is tied more to hospitality, institutional demand. If we see a ramp in DIY R&R business versus some of that project business, that can be slightly margin dilutive. So we saw a little bit of that in Q2, but nothing material to call out. But I'd say in general, we now feel pretty positive about mix being a tailwind for the full year exiting 2021 and then hopefully seeing that - continuing into 2022.
Philip Ng: Got it. That's really helpful. When we think about the divestiture or Towanda, will securing a longer term supply agreement from your potential buyer be something you're looking to accomplish? And then do you have any flexibility in terms of bringing back any mothball capacity on the door skin side? And any color on the timing of that and the process and any capital required? Thanks.
Gary Michel: Again, as I said before, we're well positioned to take care of our - of all of our needs currently and for growth in terms of door skins to supplier door businesses. What that looks like going forward, obviously, will depend on the process and who the ultimate buyer is. But we're in a position to do various things, including takeoff from the new buyer utilizing capacity within our business today. And we've talked about the ability to bring on additional capacity in plants that we currently have. Again, we've been improving our cycle time, improving our throughput, using our JEM capabilities in all of our plants, including our door skin plant. So we feel like we're well positioned to take care of those needs for today and into the future. As far as the timing goes, that will be dependent on the Special Master of the process, and we'll report on that as we go forward.
Philip Ng: Super helpful, guys. Thanks a lot. And good luck in the quarter. Operator Our next question comes from the line of Sue Maklari from Goldman Sachs. Your line is open. Please go ahead.
Sue Maklari: Thank you. Good morning, everyone. My first question is around the volumes in North America for the back half. Can you talk about how we should expect those to kind of come together, especially when you think about you obviously had a pretty considerable lift in the second quarter, partially given that comp. But how are you thinking about that part of the results coming together?
John Linker: I'd say we feel quite positive about our North America core revenue potential in the back half of the year. As you called out, Q2 is a bit of an unusual quarter just given some of the comparability to the prior year. But as we think about core revenue growth in aggregate in the back half, I'd say low teens is a fair assumption in terms of what we think we can deliver on core revenue in North America, which implies both positive volume and positive pricing.
Sue Maklari: Okay. So should we expect a relative improvement on a sequential basis from where you were in the second quarter?
John Linker: It's tough to call out, I guess, a sequential improvement because of the comparability of the prior year. But I would just say that we're - we expect good trajectory in volume in North America. Backlogs are healthy. Our book-to-bill is solid. And we've got good visibility to delivering the revenue guidance that we delivered here this morning for the back half of the year based off of the demand we're seeing.
Sue Maklari: Okay. Okay. That's helpful. My second question is around, you know, you mentioned that you're obviously continuing to move through your JEM process. You've outlined a few more locations where you'll be taking projects on. Can you give us a little bit more detail on that? And how we should be thinking about the timing in some of those coming through?
Gary Michel: Yeah. So we're - we've been at - we've been deploying JEM for the last several years across the enterprise. I would tell you that there's probably no place that we have in at least hit with the start up kit, if you will, for JEM deployment, utilizing visual management, your focus on cycle time reduction and on delivering productivity. We have identified a number of sites that we would call model value streams, and we talked about those within our Investor Day. And we have deployed at nine of those sites already and have gone through what we call our value stream analysis process, which starts to set up what the next level of improvements that we can focus on. It's very coordinated in terms of process, the deployment and the dedication of people resources. And we're looking for significant improvements in cycle time, in customer satisfaction, employee engagement, as well as productivity. So these are sites that are kind of in the advanced plan now, and will be leading the enterprise. And then ultimately, we'll take those learnings to additional facilities around the globe. So very excited with kind of this move. It's a bit of a maturity or realization of maturity in our JEM deployment, and we'll deliver some real results going forward. I mean, I think one of the things that you're seeing is the trend on price - on our price, cost is cost part of that, the productivity is being delivered. The ability to increase our cycle time through our facilities is leading to share gains in the marketplace. I think these are all great signs of how JEM is being deployed and what we still have so much more that we can do.
Sue Maklari: Okay. That's very helpful color. Thank you. And good luck.
Gary Michel: Thank you.
Operator: Our next question comes from the line of Steven Ramsey. Your line is open. Please go ahead.
Unidentified Analyst: Good morning. To circle back on pricing and margins to make sure I understand, do you expect for the company to be price, cost neutral or positive in Q3 and Q4? Or will there be some kind of short term lag in there before you catch up?
Gary Michel: No, you have it right. It will be positive in the second half, both quarters.
Unidentified Analyst: Okay. Okay. Excellent. And then on Australasia, the COVID headwind there, is volume and mix still a positive driver despite that?
John Linker: It is such a challenging time to kind of call what the future lockdowns are going to look like. We've got the demand in that market. So as long as our facilities are open, we will drive positive volume and positive pricing in the back half of the year in Australia. We just can't really call out exactly when things are going to reopen and in what cadence given the uncertainty around the pandemic. But we're ready to go and we got the demand as soon as the government let us operate.
Unidentified Analyst: Excellent. Okay. And then last one for me on the Towanda exit. Is this overall a positive margin move once this is done? And I guess within that, is there any difference in the external sales and internal impact on margins?
Gary Michel: Yeah. We'll probably - we're not going to get too deep into the financials of that. Once the process begins under NDA, potential buyers would be able to see the detailed information. But we believe that the value that we'll get for the - for Towanda at this point will be great for shareholders, it'd be great for the company and we're well prepared.
Unidentified Analyst: Great. Thank you.
Operator: Our next question comes from the line of Mike Dahl from RBC Capital Markets. Your line is open. Please go ahead.
Unidentified Analyst: Hi. It's actually Chris calling on for Mike. Thanks for taking my questions. A couple more on the Towanda plant. I realize you guys don't want to give too much granularity, but I guess just kind of help us understand the potential financial impacts. I mean, is the - I'm assuming the margin profile is kind of above what the - what your current North America margins are, is that true? And is there any way you could help us understand potential implications from the loss of vertical integration of that plant, whether it be higher skin prices or your loss of transfer pricing? Any - I realize you're kind of limited in what you provide but anything would be helpful.
Gary Michel: Yeah, I don't think you should be considering that at all in terms of transfer pricing or any of that. I think we've been running the business in a way that, that will be a non-event and not, so well prepared to take care of our needs. We're well prepared to support our growth going forward. So I think you should assume that we're in a good position there. There are - the business that we're selling at Towanda includes - it is primarily the MiraTEC and Extira businesses, which are exterior trim and trim board, which are great businesses. There will be a lot of interest in that business. From a door skin standpoint, we have three other plants operating today and - plus Towanda that supply both internal and external skins. The real thing to consider here is we've laid out our multifaceted growth platform for the company. At our Investor Day, we put out targets for our growth. This does not affect any of that. We are well positioned to meet those targets that we put out there. This was - as the time has come for us to move on the litigation and to move along with the divestiture of Towanda to take any distraction from that news away from really all the good things that we're doing to execute consistently over several years now. And I don't think you need to read any more into it. It's a part of our business, and the door skin part of it is even a smaller part of that.
Unidentified Analyst: Understood. That's very helpful. I appreciate that. And just for my follow-up, any initial views on kind of what kind of the entrance of a potential third player in the US door skins market, what that could do to longer term competitive dynamics? How do you plan on that evolving in terms of timing and kind of your position within that?
Gary Michel: Listen, I'm not going to pontificate on - because I don't know who will ultimately buy this business. But my guess would be that it's a valuable business. Somebody is going to pay for the value of that business. Door skins today is a relatively constrained capacity. It's something that we're trying to increase capacity on every single day. So my guess is that it will remain that way for some time to come. And if somebody pays for a business, you would expect them to operate it in a disciplined fashion and get a return on their investment. So I'm not really concerned about the effect on the market.
Unidentified Analyst: Understood. Appreciate the color.
Operator: Our next question comes from the line of Josh Chan from Baird. Your line is open. Please go ahead.
Josh Chan: Hi. Good morning, Gary, John. Chris, thanks for taking my questions. Circling back on the price, cost equation, recognizing that you guys expect positive price, cost in both Q3 and Q4. Is there anything to call out in terms of whether one quarter will have a much more narrower gap than another? And then kind of relatedly, anything to call in terms of margin dynamics between Q3 and Q4 in terms of - do you have a tougher expense comp in one quarter and another? Just to see if you have any color on those two quarters there.
John Linker: Yeah. I'd say the price, cost for the full year, we're in great shape to more than exceed inflation with the pricing we put into place. And we've got - we've done that in the first two quarters of the year, and we expect to do that in the back half of the year. The inflation is definitely weighted towards the back half of the year and even into Q4, there's more inflation. And so I think we got - that will have an impact on any incremental benefit to margin because we need the pricing that we're putting through to offset that incremental inflation. So that's why you're seeing a margin - slight headwind there because the additional revenue is going through without much incremental significant corresponding profitability. So certainly, back half of the year, more inflation, but we're in great shape to deliver pricing to offset that. We've taken multiple rounds of price in really all of our markets that we operate in and trying to stay ahead of this curve as much as we can. I'd say that Q3, and from a margin profile dynamic, Q3 will probably look a little similar to Q2, and the fact that we would expect gross margin expansion, but still lapping some of the SG&A benefits that we had last year. So I think the EBITDA margin in the third quarter would probably be less favorable than in the fourth quarter, just given that dynamic, but we expect gross margin improvement in both Q3 and Q4.
Josh Chan: Okay. That's really helpful color, John. Thank you for that. And then I think, Gary, you mentioned that homebuilders might be slowing this pace of starts a bit. I mean, are you seeing that in your order book necessarily? I'm kind of surprised with the extended lead times in the industry, I wouldn't think that even if the starts were to moderate, you would see order book for some time.
Gary Michel: No, I actually made that comment exactly, Josh. I said that we're not seeing that. So the - any of the news that we've seen in push-outs of completion, as we believe that's transient in the short term. I mean, we are not seeing that in our demand. We're having some of the - we have some of the best demand we've seen in recent history, and we expect that to continue. I think that's back of the comment I made.
Josh Chan: Okay. Okay. That's great. That's great to hear. And then lastly, you mentioned the returns focused capital allocation more than you have in the past, I think. So can we expect share repurchases, for example to become part of capital allocation than it has been in recent years going forward?
Gary Michel: I would say that we're certainly focused on that. We recently upsized the - last week, we upsized, the Board upsized our allocation. We've made some bigger purchases this year. We believe that our share price where it currently is, it's a great investment for us. We've delivered a great message around our multifaceted growth platform. We have a successful track record. We've been executing and outperforming. We're gaining share in our markets. And we continue to deploy our internal programs around JEM that will continue to allow us to increase our cycle time, increased productivity and deliver for our customers. We delivered our updated long-term revenue growth and margin targets at our Investor Day, which we believe in fully. And with the strong backdrop of great market conditions and our strong operations, we believe this will continue for some time. So we believe in ourselves, and we'll continue to invest there.
Josh Chan: That’s great. Thanks for your time. And congrats on a quarter.
Gary Michel: Thank you.
John Linker: Thanks, Josh.
Operator: We have our next question comes from the line of Michael Rehaut from JPMorgan. Your line is open. Please go ahead.
Michael Rehaut: Hi, thanks. Thanks. Good morning, everyone. Thanks for taking my question. First, I just wanted to get a sense from a perhaps a modeling perspective a little bit on the magnitude of incremental pricing in the back half of the year. If you could just remind us, and if there's any sense even on a per region basis, because I believe you've said that you expect incremental pricing to come through across each of the three regions. When the incremental pricing actions are effective and any type of degree of magnitude of those pricing actions on a percentage basis, just to get a sense of how to think about the impact in the back half. Obviously, in the second quarter, you had 8% in North America, 3%, Europe, 1%, Australasia. Just trying to get a sense of directionally where that could go in the back half.
John Linker: Yeah, Mike, I guess, starting with the revenue guide for the full year. Previously, our revenue guide was 8% to 11% for the full year, and now we've updated that to 12% to 14%. I'd say that our Q2 volumes came through pretty strong relative to the guidance that we gave back in April. And so part of that uplift was some strong revenue performance in Q2. But the vast majority of that increase in the revenue guide is pricing that is needed to offset the inflation that we're feeling. Those are pricing actions that we've already taken that we've communicated to the market. These are not prospective pricing actions that we have yet to take. So this is really just a matter of the timing of what we've announced and letting that flow through. The timing - by product and by region, the timing of implementation does vary. I'd say that Q3, this latest round of pricing is going in during Q3. So by the time you get to Q4, you'd have sort of a full run rate impact of all the compounding effect of the pricing actions that we've taken this year. But that's the biggest driver in the updated revenue guide.
Michael Rehaut: Okay. I appreciate it. It's helpful. And second question, and I apology - my apologies to beat a dead horse, I almost feel like not asking a question about Towanda would break a chain here. But just want to be clear on a couple of items. Number one, Gary, you've kind of said over and over again during the call that you're well positioned to take care of your needs, at least, internally. So I just want to understand, do we take from that, that the roughly $55 million from 2020 of the internal sales that, that will be completely offset by internal productivity improvements? That's number one. And number two, if there's any sense for you to give us on the $150 million of sales to external, any type of sense of what that means from an EBITDA perspective?
Gary Michel: I'm actually not going to get into a discussion of the details of the financials for Towanda, but I would tell you that the business itself is primarily the Extira [ph] trim and trim board products from MiraTEC and Extira. So consider those external sales as well. And the - and once we're in the process and talking with potential buyers, they'll understand the magnitude of what's in that business. But yeah, I will reiterate that depending on who the buyer is, of course, and what any relationships might be with us going forward, we are well positioned for the eventualities of serving ourselves and our growth plans within our own internal capabilities.
Michael Rehaut: Thank you.
Operator: We have our next question comes from the line of Stanley Elliott from Stifel. Your line is open. Please go ahead.
Stanley Elliott: Good morning, everyone. Thank you all for feeding me in. Can you talk a little bit about some of the new products that you have coming in the market right now? It sounds like that they're getting some pretty good traction with some of the customers. And then secondly, with the supply chain challenges that's impacting everyone, is this changing your thought process on some of the 2022 new products that you have coming to market? Thanks.
Gary Michel: Yeah. So we talked a little bit about innovation and product development earlier this year through Investor Day, and we'll continue to talk about new products as we go forward. We've got really quite a lot of exciting things going on. A lot of what we've been doing kind of the last several years, obviously keeping up with styles and looking at trends, but also working on our operations and making sure that we could meet customer demand. We look around the world, we've had a really nice focus on sustainable products, products that meet customer needs on more than one front not only design, but also on kind of the engineered components around security, around noise, on the windows side, around energy efficiency. And we will be addressing and announcing some more interesting products in the window space around composites later this year. So a lot going on, on the innovation front and really in all three of our segments. So pretty exciting times for us. And with where we are operationally and where we are on the commercial side of the business, it's a real good time for us to introduce some new products that will have not only are paying dividends now, but the ones that we will be launching, which will be paying dividends into 2022 and beyond.
Stanley Elliott: Great. Thank you.
Operator: And there are no further questions. Gary, you may continue.
Gary Michel: Well, thanks, everyone, for joining us today and for your interest in JELD-WEN. We had yet again, another exciting quarter. Great performance by our people. JEM is clearly paying off for us. We keep talking about our multifaceted growth platform and our successful track record of earnings growth and our compounding cash flow. We are very excited about the strategy that we've defined in our business operating system deployment. It's driving transformation within the company and delivering profitable organic growth. Please take a look at our long-term revenue growth margin and cash conversion targets that we set out at Investor Day with the backdrop of great markets and strong operating execution by the company, we're very, very excited about where we are with JELD-WEN, and we look forward to talking to you more about our successes in the coming months. Thank you so much.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect. Have a great day.